Srinivasan Venkatakrishnan: Thank you, Stewart. Good morning, ladies and gentlemen. Before starting with our quarterly results, if I can take some out to do a quick introduction of our newly elected Chairman of the Board, Sipho Pityana, who is sitting here. Sipho if we can request you to stand up, so that people can see you. So on Monday, when the board met, given Mr. Mboweni's announcement, that he wishes to serve the period for which the shareholders elected him as a director until the May AGM and then stand down and to relinquish his office of the chairman, the board unanimously elected Sipho Pityana as the new Chairman of the Board and also elected Professor Wiseman Nkuhlu as the Lead Independent Director. As you can see from the slide, Mr. Pityana comes with some excellent credentials. Particularly, he has been with the board since 2007, and importantly chaired one of the most difficult committees, which we have -- which is in terms of challenges, which is the safety, health and environment committee. And under his chairmanship, we have seen our safety, health and environmental performance improve over the years. Both Sipho Pityana and Professor Wiseman Nkuhlu come with a wealth of experience for their respective roles. And we certainly welcome both in their new roles. And we thank Mr. Mboweni for his support over the last 4 years. Moving quickly onto our results, if you can change the slide. Just to recap where we started off, sometimes towards the middle of last year. We presented what our strategy was, and the message hasn't changed. It's simple and it takes the business back to basics, which is sustainable cash flow improvement and returns. And the 5 building blocks were the following: One, during the tough times, we have a core and committed management team and an overall team in place, which is focused on improving our safety and sustainability track record. The second, we will be proactive and we have moved decisively to address our financial flexibility when we had 2 debt maturities around the corner. We also said that we are tackling head-on the tough decisions around direct costs, around our overheads and exploration and our capital expenditure to improve our free cash flow. The fourth pillar, we said, is around portfolio optimization. Two new mines that come online, plus asset improvements will enhance the quality of portfolio as we continue to remove margin allowances from the mix. And we said that this is not all about the short or the medium term, we've got our eyes focused on the long term as well, and we want to keep the long-term optionality impact by using lower cost options and a very targeted portfolio of exploration sites. These 5 steps will enable AngloGold Ashanti to ride the goal price shocks, improve cash generation and preserve long-term future. So if the price surprises us on the upside, we can cream [ph] that extra cash flow. Starting with our first value, Safety. Our focus is even greater at these tough times as you would appreciate. Lots of good work has been put in by the team over the past 6 years, and we've continued to build on this foundation every day. We strive to achieve 0 harm, and as you can see from the slide, the progress has been good under most metrics. Whilst recognizing one fatality is one fatality too many, fatalities have been the lowest in 2013 in AngloGold Ashanti's history. And we recorded our best-ever all injury frequency rate and lost-time injury frequency rate on record. And 80% of our operations set new, improved safety records in 2013. And every year, we present a safety record to one of the mines in the group, and it's high competition for that award. And this year was the most difficult judgment, which the committee had to make, and finally choose Siguiri for their improved performance. Having said all of that, sadly, 2 of our colleagues, Edward McCarthy [ph] at Moab and Richard Idu [ph] at Obuasi, lost their lives in mine-related accidents. We have completed the investigation of those accidents, implemented corrective action so that those incidents do not reoccur in the future. Our 3 focus areas remain: Changing behavior; putting the correct systems, processes and methods and training in place; and removing people from risk using technology. Any safety record is only as good or as bad as the last incident. And therefore, we continue to -- we look at major hazard control, work and controls, which we can put in place, and focus on what we call near misses or high potential incidents so that we can learn on what went wrong there and how we can improve going forward. Moving on to the highlights for the quarter. The year in question, the AngloGold Ashanti team has done a fantastic job by registering the first-ever annual production growth since 2005. And it is also the first year of annual cost decline over that period. This is in line with only adding ounces if they are profitable ounces. Production for the year of 4.105 million ounces exceeded the top end of our guidance and cash cost of $830 an ounce came in within the guided range. And you've got to bear in mind, we were at around $900 an ounce for the first half of the year. Further growth is anticipated in 2014, and we'll cover that later on in the presentation. Cash flow was prioritized for debt reduction and completion of projects, and therefore the board at its meeting concluded that no final dividend would be declared. We do not believe borrowing money from banks to pay dividend is a smart strategy. And as you can see from the next few slides, our cash flow is improving quarter-on-quarter, so we will be getting to free cash flow in 2014. Turning to the fourth quarter. Production of 1.229 million ounces overshot the guided range of 1.13 million ounces to 1.17 million ounces. It's up 43% on the same quarter the previous year. Admittedly, that was impacted by the South African strength, and it was 18% improved quarter-on-quarter. All 4 regions improved their output, and notable mention should be made to Continental Africa for the best quarterly output since the fourth quarter of 2005. And Siguiri, and in particular, Iduapriem, exceeded their budgets and target significantly. Americas hit 1 million ounces for the first time as the performance in Brazil improved. Our total cash cost came below $740 an ounce, at $748 an ounce, by 23% improvement when you compare the 2 quarters year-on-year and 8% quarter-on-quarter. Our all-in-sustaining cost declined to $1,015 an ounce from $1,115 an ounce from the previous quarter. And I'm not going to go through the various financial metrics. Richard will cover it, but certainly as you can see our covenant performance is improving without having to even need that waiver, which we obtained from the banks. At the same time, our indirect costs, corporate costs and exploration and evaluation spend has been decreasing quarter-on-quarter. Ultimately, this has to translate the free cash flow. And people often ask us, what do you mean by free cash flow? It is basically after all outgoings, all capital, tax, interest payment, basically the pot of cash which is available for the shareholders. And if you recall, in the second quarter, it was outflow of $497 million an ounce. It improved to $205 million an ounce. It's improved to $82 million an ounce in terms of outflow. And it's dropped to around 1/5 of what it was in the second quarter. And as Richard will elaborate, Tropicana and Sunrise Dam continues to generate cash flows, and we are using it to retire the Australian revolving credit facility, was not touching on the U.S. dollar revolver. Post quarter end, the team has done a very good job in reaching agreement under a tough market to sell Navachab for $110 million to QKR. In terms of enterprise value we are expecting the sale to be concluded sometime in the second quarter of the year. Moving on to the next slide. I think the next 2 slides, 2 tables -- and pardon us for putting a number of -- numbers on that, but it's quite important as these 2 tables say it all, and it's worth more than 1,000 words. Every quarter-on-quarter, the drop in gold price steals hundreds of millions of dollars from the top line. But as you will see it from the table, every variable, which is in management's control, either partly or fully, has actually shown significant and importantly steady improvement. Production has improved. Two new projects have come onstream ahead of budget, ahead of schedule and on budget and are ramping up nicely. Our cost control is paying off. Certainly, the weakening of currencies helps us. That's the advantage of having a diversified portfolio. And cash flow is certainly improving. And the numbers speak for themselves. This comparison is even more marked when you look at it year-on-year. Admittedly, the fourth quarter of 2012 was impacted by the South African strike, but despite that the improvements are marked considerably as we have had to counteract a $450 drop in the gold price over that same period. And $450 drop in the gold price is quite phenomenal when you multiply it with the number of ounces. As we have said before, AngloGold Ashanti is a big ship. It does take time to turn. But once it starts to turn and it starts to gather momentum, you'll start to see results. Every cost metric has improved markedly. Production has improved and benefits are starting to flow through into cash flow. We appreciate that one swallow doesn't make a summer. We have shown that what can be done 4 quarters in a row consistently. We fully appreciate this is a long-term business, and one has to be humble. We are bound to hit bumps along the way. I know everyone is excited on quarterly guidance, but we are dealing with long-life assets here. So we are bound to hit the bump here and there, a quarter here and there, but the overall trend is important and that's what will remain positive going forward. Now, looking at the other pillars in terms of our strategy, our cost reductions and corporate cost and exploration reduction. If you recall, we said exploration and corporate cost was $760 million in 2012, and it'll drop by $460 million in 2014 or a saving of around $100 an ounce. It'll drop by $460 million. We have approached it carefully and not as a toe-cutting excise, focused on removing duplication, fat and non-core activities. On exploration, the focus has gone back to in and around mine life extensions. And the focus is on the Tropicana belt, Siguiri concession, Kibali and Colombian project areas. We have largely withdrawn or are in the final stages of withdrawing from around 13 regions. But through this period, we have retained the coal geological team intact. On the corporate side, corporate cost side, a detailed review has been done globally. And we have streamlined structures, we have removed duplications, we have combined roles wherever possible. Importantly, we have moved technical skills closer to the operations. The mine general managers have been empowered and provided support from corporate as needed. We have removed around 38% to 40% of the roles globally. And we have committed not to prevent the cost creep coming in should the gold price rally. And what you're seeing in the slide, when you compare the fourth quarter of 2012 to '13, exploration and evaluation cost expense have come down by 67% and corporate cost by over 56%. We'll continue to look at what is possible on the estimates for 2014, which Richard would guide in terms of our exploration and evaluation costs and corporate costs. Turning to our all-in-sustaining costs. This is the measure which was introduced by the World Gold Council. It's a combination of cash costs, non-designated project capital expenditure, overhead expenses and exploration costs. It's coming down quarter-on-quarter very well. We'll continue to drive sustainable savings on all aspects of the costs, as Ron will outline later on in the presentation. Our all-in-sustaining costs in the fourth quarter dropped by around $273 an ounce as compared for the first half of the year. So we you compare it from the first 6 months of the year to the second 6 -- for the last quarter of the year, you see a significant drop in the all-in sustaining cost. A function of all the initiatives bearing fruit, but importantly, 2 new mines coming in on production at a cost of less than $600 an ounce. Then turning to capital expenditure. Both years, 2012 and '13, were heavy capital spend years, as we were building 2 new projects, Tropicana and Kibali. Tropicana is now completed and is paying down the debt. Our capital expenditure bill in 2013 dropped by 15% or $300 million. In 2014, we are estimating a further drop in our capital expenditure bill of 31% or $625 million. Project capital spend in 2014 is around $400 million, and it's primarily relating to Kibali, where we complete the sulphide circuit and continue with the underground capital; Cripple Creek & Victor, which is around the high-grade mill and the mine life extension, Obuasi ramp project and in Penang below 120 level. What is important is that our capital spend has been reduced from 2012 to 2014 by over $1 billion. But we have maintained through this period our sustaining capital spend intact at around $900 billion to $1 billion to ensure that safety, environment, asset integrity and sustainability of the business is not impacted. Then, before passing on the presentation to Richard, the last slide, looking at what has happened in terms of our production profile. Thanks to the investment we have made in previous years, we are starting to reverse nearly a decade of shrinking production in AngloGold Ashanti. With Tropicana and Kibali achieving full ramp up during 2014, we plan to see production improve from current levels, but it comes along with margin growth as our portfolio continues to transform. And if you remember, we had 21 mines, 2 mines have come onstream, Yatela is going to closure, Navachab is being sold, we're back into 21 mines, and we'll continue to look at it. This gives us flexibility to remove the margin allowances without compromising our base, and that sets us apart in a sector that generally continues to shrink presently. With those comments, I'll pass you across to Richard.
Richard N. Duffy: Thank you, Venkat. I'll start with a breakdown of our improved quarter-on-quarter all-in-sustaining costs that Venkat outlined, which reduced from $1,155 an ounce to $1,015 an ounce in quarter 4, a reduction of $140 an ounce. The biggest contribution came from improved operating performance that Venkat has described, the results of our higher production and benefits of low corporate costs assisted by favorable inventory movements in the last quarter. Our all-in-sustaining cost for the full year at $1,174 an ounce, which is 10% better than our all-in-sustaining cost over the first half of the year, compares very favorably to the target of $1,200 an ounce that we announced in our June quarterly. If I turn to our earnings reconciliation, we have again shown normalized adjusted headline earnings given the significant realized fair value gain of $567 million on the conversion of our mandatory bond in quarter 3 and other once-off adjustments in quarter 3 and 4 as set out in the table of -- on Page 3 of our quarterly report. The improved operational performance is reflected in our normalized adjusted headline earnings increasing by $54 million to $164 million for the quarter, which is a 49% improvement over quarter 3, despite a 4% lower gold price. The improved operational performance is driven by increased volumes in higher grades, which Mike, Ron and Graham will touch on in their presentations later on. Lower net finance costs of $14 million are the result of bonds maturing being early settled in quarter 3 together with capitalized interest, partially offset by the increased finance costs on our new $1.25 billion 7-year bond. Lower corporate and exploration costs further contributed to our improved normalized adjusted headline earnings for the quarter. On financial flexibility, quarter 4 saw the continuation of our prudent and proactive balance sheet management. The improvement in our EBITDA in quarter 4 from $327 million to $544 million was 66%, resulted in our net debt to EBITDA improving from 2.02x to 1.86x, despite a nominal increase in our net debt of $100 million. This remains well within our loan covenant of 3x, as Venkat highlighted, which was temporarily eased to 4.5x for our June -- through to our June testing period but then reverts back to 3x at the end of this year. Our net cash outflow in quarter 4 at $82 million was considerably lower than quarter 3's $205 million outflow. Importantly, nearly 2/3 of this -- of our $224 million project capital was funded by our operations. In addition to funding a significant portion of our project capital in quarter 4, we also started repaying the AUD 600 million revolving credit facility, which as we said was put in place to fund Tropicana. The drawn balance was reduced to $548 million by the end of 2013. And we expect that to reduce to around AUD 400 million by the end of this quarter, quarter 1. This facility matures at the end of 2015. In quarter 4, we also addressed both the tenor and structure of our South African borrowings, through a ZAR 1.5 billion revolving credit facility and ZAR 750 million, 3-year floating rate bond. Both of these complement our existing facilities under our domestic, medium-term note program. Now turning to our outlook. The focus on cash flow in our business is reflected in our 2014 outlook numbers. Capital expenditure, as summarized by Venkat, is projected to reduce from $2 billion in 2013 to between $1.3 billion and $1.45 billion this year. This includes the $400 million mentioned for major capital project spend. It also includes all stay-in business and ore reserve development expenditure as well as around $113 million for capitalized deferred stripping. Corporate costs are projected to reduce to between $120 million and $140 million this year and expect the expensed exploration and studies to between $150 million and $175 million in 2014. These are in line with our earlier guidance and reflect a further significant step down from 2013. Depreciation and amortization for the year is guided at $800 million. Interest and finance costs guidance is provided against both income statement and cash flow measures at $290 million and $250 million respectively. Important to note is that our cash interest payments are higher in quarters 1 and quarter 3, at around $83 million in each of these quarters and lower at $40 million in quarters 2 and 4. Our Outlook for all-in-sustaining cost in 2014 is between $1,025 an ounce and $1,075 an ounce, $100 an ounce better than 2013 at the higher end of our outlook range. The assumptions behind these outlook numbers are set out in my final slide, which I'll get to you shortly. I just wanted to touch on our quarterly production trends. From the graph on the slide, you will see that our quarterly profile with production stepping up through the year, is repeated most particularly marked last year, 2013, with our 2 new projects, Tropicana and Kibali coming onstream towards the end of the year. A similar impact is again expected in this first quarter 2014, given the typically slow startup in South Africa, stepping up through the year and assisted by the continued ramp up of our projects -- of our operations, Tropicana and Kibali. Then finally, outlook for the year. Our production for the quarter -- our production outlook for quarter 1 is between 950,000 ounces and 1 million ounces at a cash cost of between $800 an ounce to $850 an ounce. The production outlook for the full year is between 4.2 million ounces to 4.5 million ounces at a unit cash cost of between $750 an ounce to $790 an ounce. The assumptions used to arrive at these cash cost outlook numbers as well as the outlook numbers I referred to a couple of slides back, are detailed in the third column of this slide. I will now hand over to Mike O'hare to take us through the SA operations.
Mike P. O'hare: Thank you, Richard, and good morning to everyone. Graham Ehm and I have agreed that the cricket is still [indiscernible]. We'll talk about that probably next quarter. I think the region had a solid quarter with the production improving, which helped the year's results. We managed to tick the 4 important big boxes, being safety, cash flow, production and costs. And if I touch briefly, Venkat mentioned the safety results, we almost achieved 200 days fatality free. And some of our mines are now measuring their interval between fatals in terms of years. And it's not so long ago that we used to measure it in terms of months and quarters. And particularly the efforts in the Vaal River mines by those managers and their teams needs to be commended. On the production side, we had an increase of 10,000 ounces quarter-on-quarter. If you analyze the results, we had a slight slippage in our volume. As you all know, we're pushing blast frequency as one of the productivity measures. This came off slightly in the quarter, but the yield increased enough to cover that decrease and some more. The yield increase, I'm going to talk to you a little bit later when I come to a slide around Moab Khotsong. But the yield increase is driven across the piece by a slight increase in mining grade across the region, but there's quite a significant decrease in the dilution factors, such as stope width and our clean mining drives, which is merely decreasing the amount of inventory we leave underground. I think we did mention this level of performance Q1 will be a little bit tougher for us. So really we need to get beyond the startup piece and back into these kind of results as quickly as we can in 2014. As far as costs are concerned, significant decrease in costs, some help from the exchange rates, but the sustainable pieces are really there as well. Our headcount reduction in management is over 25%, and we've completed that process. We are now into discussions with unions and associations around decreases in some of the other skills areas. We've completed our voluntary separation process, which has also reduced our headcount quite significantly. Our electricity savings projects continue to give us some real bang for the buck. And the work we're doing with our suppliers around managing the increases and managing their expectations is also proving to be helping the bottom line quite significantly. Our uranium production for the year was at 1.4 million pounds. We expect that to increase to around about 1.8 million pounds in 2014, as mine waste solutions comes on board this year. We should see production of uranium from that facility in Q1. We're busy with commissioning as we speak. If we move to the slide on Moab, you'll see that the mining area, the colored area, the dark red and the black is really where we've completed our development. We've been developing in this area for over 3 years. The grades that we're seeing there now and expecting from that area, we knew we had, which is why our reserve grade is at 10 grams a ton and our current yield is just under that number. So we're really mining on our reserve grade. We expect this yield to increase slightly in the coming quarters, largely as we increase the volumes that we mine from these higher grade areas. If we move on, our mechanization drive, key achievements for the quarter. I think it was a key achievement being able to take some of you underground and it was nice to see some of the skeptics, see that we are actually doing something different, and potentially have a game changer here. But I think the key things that we want to report on this quarter are, firstly, our new reamer, being able to do a single-pass hole, is helping us now consistently do a hole in 3.2 days. Our target remains 2 to 2.5 days for a hole, and we'll continue trying to get to that number. The second important piece, and for those of you who do a little bit of DIY stuff at home, if you've ever try to drill 2 holes in a piece of steel right next to each other, you know how difficult that is. And we are really worried that we wouldn't be able to extract all of the ore between the different holes. And as I think you can see from the picture, that the picture below that we've now put 3 holes -- in fact it's now 4 holes skin to skin with very little deviation. So the backfill is working properly and the reaming head deviation is pretty small. So quite comfortable with the results we are achieving there. If we have a look at the next table, which really summarizes the work to date -- and we put this in because we really need you to measure us a year from now. This is an R&D site only. We plan to ramp this up quite significantly over the year. Remember, we specifically chose a site, which had very high grades, which we walked away from, it was a shaft pillar at TauTona because it was too dangerous to mine. And you can see we've mined 18 holes there now. We've moved our average hit rate from 8.8 days down to 3.2 days. The average grade rate in those holes is 90 grams a ton with 1 hole coming back at over 200 grams a ton. So just in the R&D phase, we've managed to mine over 40 kilograms of gold. Projections for 2014 is we want really quadruple that number in 2014 as we construct the site, and that's on the next slide. So you'll see that our site construction at different mines is well underway. Certainly, nearing completion at another 2 sites, which we'll see start production in Q2. But I think what's important to notice here, besides the fact that we are constructing sites to go into production and those machines are being built as we speak, is that you'll see our strategy of targeting firstly very high grade areas that we've had to walk away from in the past. So we're putting 2 sites in those areas. Secondly, very, very narrow reefs, the C-reef, in particular, which over many years has not been able to be mined conventionally because we dilute that narrow reef so much and then we have a problem with the carbon so we end up with the traditional South Africa mine cofactor problem. So we'll be targeting the C-reef. And we should start production, I think, it's Q3 at Great Noligwa there, which opens a whole new world on a marginal reef for us. And then the third piece is tackling some of the really challenging vertical reefs that we have at Moab Khotsong with this machinery. So I think 2014, a big year for this project, 5 sites running, quite a bit more production than we've seen so far. We should know the costs of this system. And really by -- we'll be able to make a choice or a decision on how big our ramp up is going to be for 2015 and beyond. Thank you. If I could call on Ron?
Ron W. Largent: Thank you, Mike. And good morning, everyone. I think I would like to start out the conversation today, before I get into the regions and talk about the outcomes the quarter -- the outcome of the cost management side that we spoke about the last couple of quarters here. In August, I asked you to watch the outcomes, as this would be the best way to measure our progress as it relates to change. And I think we talked about a project we call Project 500. But in reality, it was a commitment where the management team had to remove $100 to $120 an ounce out of our business by cost management. As you can see from the information that we presented, in general, we've come from about $900 an ounce to about $750 in midway through 2013, until the end of 2013. And there is many reasons that, that is where it's at. And instead of going into those things, what we've done is said about $50 to $55, we've calculated on our cost rationalization. And we could get into that in considerable detail but that may be contract mining work or efficiencies work or actually, redoing contracts, cyanide consumption, whatever that may be. So we're trying to keep that in context. In general, we are saying the $150 an ounce reduction is about 1/3 of that is right on paying attention to our operating cost. So taking these outcomes into account, and the outlook for 2014, presented by Richard, which was between $1,025 and $1,075, that $100 commitment is within that outlook. So we've already put that into the budget, and feel fairly confident we will be able to execute that. So that's just a discussion on the operating cost side that I think is important, because there's a component of that, is what we are driving to bring our -- I think, all important cash flow piece trying to create the margin within our -- each asset. So now on to the regional overviews. In Continental Africa, production increased by 74,000 ounces in Quarter 4 compared to Quarter 3. 40,000 ounces of that was due to the new Kibali mine in the DRC, the JV between us and Randgold. Other production improvements come from Geita, Siguiri and Iduapriem, which have been mentioned previously. The Obuasi decline work is on schedule. And meeting in our objective was to meet 200 meters a month on a single heading, and we've had 3 months in a row where we've been able to meet that production or that productivity. While engagement with key stakeholders continues, and developing our options into the future that will allow us to execute that plan. For 2014, Kibali will have a full year of -- full calendar year of production, which we anticipate strong cash flows from it and Geita in the Continental Africa region. Additionally, cost management is in progress and the positive impacts on our cost profile in the region will come from -- in 2014, will come from working capital inventory work where we scrutinize our working capital, contract mining agreement, and of course, the labor rationalization in Continental Africa. In the Americas region, production was steady at 262,000 ounces. But I think importantly for that region, since I was associated for quite long time, we always had a goal of meeting a million ounces, not at all cost, but for the year they finally met 1 million ounces of production out of those assets. Cerro Vanguardia had its highest production in over a decade even in the difficult operating environment of high inflation and regulatory challenges in Argentina. And at CC&V, the production improved 15% quarter-on-quarter. Cash costs were impacted positively from the site management, I've discussed earlier, and then of course, exchange rates in Brazil and Argentina. The Corrego do Sitio mine has seen improvements to the grade, but it's primarily about around ore body extraction efficiency, very narrow vein, broken up ore body that we think we have cracked a part of the puzzle on our mining methods at Corrego do Sitio. For 2014, in the region, the real change will be the startup of the mill in the fourth quarter, which will actually add a change to the production profile in 2015. On to Australia, the region seeing the anticipated increases in Quarter 4, from both the newly constructed operations, the Tropicana mine and from Sunrise Dam as the extraction of the crown pillar continue through the fourth quarter of 2014. Production increased by 107,000 ounces for the 2 operations, which that increase attributed to that and other reductions, contribute to a 50% reduction in cash costs. The quarterly results for Tropicana are in line with the project expectations for both production and cash cost. As we look into 2014, in Australia, Sunrise Dam ore production is basically 100% from underground, which is a change as the open pit mining officially ceases. And in 2014, Tropicana will have its first full year production at design rates. It's quite an exciting time for the team in Australia as they've been looking to add Tropicana for quite some time. In summary, I think all 3 regions had very good metrics in Quarter 4, safety, environment, production, cost metrics. And I think probably more than that we are excited as we go into 2014 and see if we can -- and proving that we can continue the metrics that we showed in Quarter 4. So with that, I will turn over to Graham Ehm. Thank you.
Graham J. Ehm: Thank you, Ron. Good morning, all. I'm very pleased to be able to talk to you today about our projects. No doubt, you've been following the pipeline of projects for AngloGold Ashanti over the last few years. And we will note in the results today that they are now making a significant contribution to our business. First of all, for Kibali. Following the first gold pour in September last year, the ramp up of the oxide circuit has gone quite well resulting in production of 88,000 ounces in quarter 4, or 40,000 ounces AngloGold share. Construction is continuing. Construction of the hard rock sulphide circuit is proceeding well. And we will see commissioning of this circuit in quarter 2 this year. Along with the Nzoro hydropower station which we will closely follow and also commission in quarter 2. During the year, exploration has been particularly successful. And there was also some increase, some 17% to almost 10 million ounces AngloGold share. Development of the twin declines is progressing very well with first underground ore now expected in quarter 4 of this year. The shaft has reached the depth of 195 meters and now is into the main sink phase. This is quite a long activity which will continue to a depth of about 760 meters. And full fit out of the shaft, leading to production and use of the shaft will take until 2017. At Tropicana, Tropicana's ramp-up has gone quite well and in quarter 4, produced 95,000 ounces or about 66,000 ounces our share. Plant run time is currently about 90%. And there's plans to steadily improve this to about 95% during the first 6 months of the year. Construction is fully complete. And all of the contractors have demobilized. And we haven't seen any surprises during the project close out, so costs remain on budget. Importantly, we've now seen the first reconciliations right through the production from the resource model, and that has shown no surprises. Now in regard to Cripple Creek. Cripple Creek is a project that will add 2 million ounces of production over a 12-year period. Think of Cripple Creek in 2 parts. First is the construction of the 2 million ton per annum milling facility to treat the high grade structures within the ore body, and then that's followed by the construction of the second valley leach facility of about 200 million tons capacity. Construction of the mill is progressing well and will be commissioned towards the end of the year. The valley leach and associated gold recovery plans are on track, and commissioning scheduled for 2016. Now if I can turn to resources and reserves, the resource price this year was reduced from $2,000 an ounce to $1,600 an ounce. Resources after depletion have reduced slightly to 233 million ounces. The gross annual decrease of 2.8 million ounces before depletion, and 8.5 million ounces after deflation. Changes in the economic assumptions resulted in a 12.9 million ounce decrease, but this was offset by 10.7 million ounces increase due to exploration and modeling, with notable increases at Kibali and Colosa. In regard to reserves, the reserve price was decreased from $1,300 to $1,100 an ounce. Reserves decreased to 67.9 million ounces. The decrease was due to 5 million ounces in depletions. The change in economic assumptions resulted in a 3.4 million ounce decrease, and was offset by model and exploration increases of 2.2 million ounces. On the next slide, you can see the distribution of our resources and reserves across the business where South Africa -- I nearly said South Australia, maybe I was thinking of the cricket, Mark -- South Africa, of course, still dominates followed by CA, Continental Africa, and the Americas and Australia. The change year-on-year is really not significant relative to the overall portfolio and our future production scenarios. Thanks very much. With that, I'll pass back to Venkat for closing comments.
Srinivasan Venkatakrishnan: Thank you, Graham. To conclude where we started off, we remain on course regarding our strategy. And as you can see from the slide there, which is rather crowded, but it will clear in your printout, delivered what we promised in May of last year. We have had some very good runs on the board across the 5 pillars and to name a few, the leadership team was quickly established, focused. On safety, we've had our best ever safety performance in our history with 80% of the operation setting new records. Environmental incidents have reduced considerably. And sustainability under David's leadership has been better integrated into the operations of the business. On the financing side, we have done the capital raising last year in terms of getting a $1.25 billion bond, which gave us the flexibility and although we didn't need a relaxation of the covenants, we felt it was prudent to basically obtain that. And certainly, it's shown that we didn't need it based on how events have transpired. So we've got a good mix of debt tenure, and importantly, our U.S. dollar revolver of over $1 billion is not drawn. On the optimization side of costs, our planning is taking place for $1,100 for 2014. Our all-in sustaining costs have dropped to around $1,015 from around $1,300 earlier the year. Overhead and exploration cost declined by 35% year-on-year. And we expect a similar reduction going into '14. And our capital expenditure bill has come down in line of what we promised to the market. In terms of projects, Kibali came onstream ahead of schedule. And on budget, Tropicana similarly commissioned ahead of time and on budget. And Graham and the team in Australia did a very good job. Navachab sale was completed under very challenging market conditions as you would appreciate. And the amount which we have agreed is $110 million, enterprise value plus royalty, and full credit to Charles and the corporate finance team and the legal team under Rhea, [ph] for having pulled that off. CC&V expansion is on track and on schedule, and the collective work of our 3 operating colleagues, and 7 of our corporate office support colleagues have helped us complete a large chunk of these improvements. As we say, it is not about the short-term only, we've had continued focus on the long-term. Our South African technology project continues to soldier ahead; when I visited TauTona a week and a half ago, it was only the 17th hole, didn't realize Mike had drilled the 18th hole in between, well done. And likewise, in terms of our Greenfield exploration project has been very focused, and we are targeting the dollars where we believe we are going to get the best bang for the buck. So with those concluding remarks, I'll pass you over to Stewart Bailey.
Stewart Bailey: All right. And questions if you can just give the name and the institution you are with. If we could start with Allan Cooke over here, and then -- actually start with Derryn, I think you are a little closer.
Derryn Maade - HSBC, Research Division: This is Derryn Maade from HSBC. Could you guys please expand upon the restructuring options at Obuasi that are mentioned in the presentation, just in terms of what options are being considered, as well as potential timing for those. And then could you also please just expand upon the board's decision to forgo the dividends?
Srinivasan Venkatakrishnan: If I can pick up both in relation to Obuasi first, and then the decision by the board. I thought I covered the decision by the board, but I'll go over it again. In terms of Obuasi, the real challenge we have is it's a phenomenal ore body. In terms of grade, most of you have visited Obuasi and seen the ore body for yourself. The biggest issue is around how we actually get access to the ore body. The technical challenges are not huge. Our method of mining is jack hammers, but we want to modernize and mechanize it. We want to remove the constraint in mining, hence, we're currently putting the decline, for those of you who have been to Obuasi, we already have a decline running from 26 level to 41 level and -- which was built during Ashanti time. We will modernize that. We are then putting a decline from surface down to 26 level, working both ways to meet that 14 level. And Ron can correct me if I'm wrong, but I'm learning fast. So in that regard, hopefully, we remove the bottleneck in terms of the entire mining infrastructure. We then modernized the method of mining, and we re-skilled the workforce. Effectively, what you are then seeing is a long-life mine, which can extract this ore productively at lower cost. And we're not talking even the deeps here, we are just talking ore above 50 level, out of 4 or 5 blocks. But our biggest issue in Obuasi is around all of the SG&A, the softer issues and the noise, and in terms of the costs and that's where the real focus is at the moment. And as you appreciate, it's a 100 year old mine. So decisions can't be taken by knee jerking. A consultation process is currently underway with all of the stakeholders. And we're pleased that we're getting very good feedback from the union, very good feedback from the government and from the community alike, wanting to address the long-term viability of the future of Obuasi. So in that regard, all we can say at the moment is, we're looking at all options, which are conceivable in terms of the asset. We note the comment made by the minister recently in the press, but all of the options remain on the table. We're not going to box ourself to a particular timeline or deadline in terms of options, but certainly, this key on our agenda at the moment. Because we do know that, that is an important unfinished business in AngloGold Ashanti's portfolio and that is receiving full focus in that regard. Just purely in terms of timeline going back in history, any year which ends in a 4 is a memorable year in Obuasi's history. The mine was privatized in 1994, it was sold to AngloGold in 2004, and we are in 2014. So let's leave it at that.
Stewart Bailey: Dividend.
Srinivasan Venkatakrishnan: With regard to dividend, and Derryn, it was a difficult call from the board's point of view. The debate did last quite a bit, because the prospects are looking very promising as you go into 2014. The gold price was volatile. It did pick up closer to the board. But in reality, you have to ask a question. Is it good financing strategy longer term to basically borrow money from the banks and pay a dividend. For the sake of actually paying a half yearly dividend, the board correctly and conservatively concluded, despite the debt reduction, which is happening in Australia, it is best to get to free cash flow positive territory in 2014, and hence, made a decision in terms of forgoing the dividend for -- the final dividend for 2013.
Stewart Bailey: Allan?
Allan J. Cooke - JP Morgan Chase & Co, Research Division: Allan Cooke from JPMorgan. Venkat, just you made some comments on the portfolio and the 21 mines, and the changes that have happened, is that portfolio -- it's now for AngloGold Ashanti or will this be -- there be further changes in terms of disposables maybe purchase, or is this the portfolio that you are going to take forward as you restructure? And then just for Richard, I've been through all of the disclosures, but I can't see defined any all-in cost disclosure, do you tend to disclose all-in costs for AngloGold Ashanti from the March closure, in line with the World Gold Council guidelines or would you provide that separately for us, please?
Srinivasan Venkatakrishnan: You want to pick your question first?
Richard N. Duffy: Sure I can. We -- the all-in cost if my memory serves me, I mean if Mark is in the audience, he can correct me if I get it wrong, for the -- for Q4 was 1,233. So that includes in addition to the sustaining capital, it now includes your expansionary CapEx. And we can certainly provide that going forward. So 1,233 for Q4.
Srinivasan Venkatakrishnan: The CFO was certainly on the ball. So with regard to going back to the question in terms of portfolio, I think you never say never, in terms of the portfolio mix. We constantly look at the stream of assets, certainly, Yatela and Navachab were easy choices in that regard. We will continue to look at the portfolio of assets with the view to basically streamlining it. But as I said in previous discussions, I don't think it's right to simply put an asset on the block until we have done the full homework, and we are fond of you but certainly, we will be looking at streamlining the portfolio going forward, negotiations underway. We may look at joint ventures for synergies, et cetera. A whole range of options are open in that regard. We are not fixated on having more than 20 mines to answer your question, Allan.
Stewart Bailey: Adrian?
Adrian Hammond - BNP Paribas, Research Division: It's Adrian Hammond from BNP Cadiz. I have 2 questions. Firstly, one for Richard and the second one is more of a general question. Richard, just on Slide 16, you point out some of the cost improvements for the sustaining cash cost, what -- could you just give us what was related to weaker local currencies if you have it.
Richard N. Duffy: Yes.
Adrian Hammond - BNP Paribas, Research Division: And I'll wait for the second question, thanks.
Richard N. Duffy: Weaker local currencies did contribute marginally, but the reason we didn't break it out in the waterfall is it was pretty much offset by escalation inflation. So it was probably around $6 an ounce relating to local weak currencies, but offset by approximately also $6 an ounce on escalation.
Adrian Hammond - BNP Paribas, Research Division: And then, second question relates you your production guidance. You've got a lot of new growth coming through this year from Kibali and Tropicana, but you are guiding a little growth for FY '14 year-on-year, where are the major shortfalls?
Srinivasan Venkatakrishnan: You want me to pick it up.
Richard N. Duffy: Okay pick it up.
Srinivasan Venkatakrishnan: If I can pick it up in that regard, really what we are looking at in terms of guidances, and we did say that at the start of the year, we said, just because we are getting more than 500,000 ounces coming out of Kibali and Tropicana, don't add it to 2013 production to get to the number. We will be removing marginal ounces, and we have done so in respect of Mali. Mike is looking at ounces in South Africa as well. And particularly, in Obuasi, we are looking at some of the tailings treatment material, looking at the cost implications again, and said, you know what, this doesn't make sense. What we need to address is the mining issue at Obuasi. And simply putting tailings through to get to a production target doesn't make long-term sense, to give you a flavor of some of those changes.
Richard N. Duffy: And also just to remember, half -- we've assumed a half year's production, another half is asked as well. So...
Stewart Bailey: All right. Steve? Sorry, Steve it's Andrew?
Andrew Byrne - Barclays Capital, Research Division: Andrew Byrne from Barclays. I have 2 questions for me. First one revolves around grades. We've seen another pick up in the quarter, you're continuing the momentum we saw from the third quarter. A few skeptics out there may suggest that it is a case of high grading, which you, rather than do a couple of raises, you'd -- makes sense. Could you give us an idea of how that grade profile develops, as you see it now over the next 12 months, and then looking out perhaps over effect 36 months? It's the first question. Then the second one is actually towards Graham, if possible, in the past you talked about one of the potential game changers at Tropicana, and something you can really focus on is exploration, to try and firm up the production profile post, kind of, 3 years, and potentially that could have some input in terms of how you view your ownership on the asset. Could you give us an update of what's been happening there please?
Graham J. Ehm: To your first question, I might just comment on grades and answer it this way. There's no deliberate strategy to high grade. If you line up your reserves in production grades, you'll see that some are above and some are below. And that really is determined more by the mining sequence rather than any deliberate high grading strategy. In terms of production for the last quarter, quarter-on-quarter, you'll note that there are improvements in regard to mining volumes, and also milling volumes. So that over and above grade has made a contribution to the increase. Specifically, with Tropicana and Kibali coming on board, they are higher grade. Higher grade than average, and clearly, their cash costs are much lower. They contributed about 110,000 ounces in quarter 4, and we will contribute more, our share, in quarter 1 and then through the year. So that's a significant difference. A one-off case for quarter 4 was Sunrise Dam and that was regard -- around the crown pillar. There's a very high grade ore right at the bottom of the pit. So that's a one-off, that's now being completed and you won't see that rolling through. In regard to Tropicana, you are quite right. We've always guided that the first 3 years would be around 470,000 ounces, 490,000 ounces and then it would fall off in year 4. 2 areas we focused on, 1 is underground exploration. And we found that the high-grade shoots in Havana pit, Tropicana pit do extend a dip. We have completed a prefeasibility study around that and it says 2 things. One in terms of the underground mine. We would need a higher gold price, equal to $1,400, $1,500 to make a decision on that today. But we would also -- what would also help is repetition of those shoots along strike. So that we get a higher ounces per vertical meter. So that second point is one we can deal with, with exploration. So that would be the focus in terms of exploration at the mine area. The other is the broad brand fills potential within a trucking distance from the mine. And we are still pursuing that. We found an area of Madras, which is about 200 kilo -- sorry 220 kilometers south of Tropicana, looks quite encouraging. But it's still pretty early days on that. So overall, there's quite a number of prospects with targets within that area. And we are still methodically working through them.
Andrew Byrne - Barclays Capital, Research Division: Last one is, I'd just like to make a request, is there any chance to get up to Obuasi at some point? You mentioned people have been there, but I think it's about 5 years, so I think most people will love to just try and get there, if we got the chance.
Graham J. Ehm: We will let you know when we decide on that one Andrew.
Steve A. Shepherd - JP Morgan Chase & Co, Research Division: Steve Shepherd, JPMorgan. Firstly, well done to the team on an outstanding set of quarterly results, it's pleasing to see that. So that's the nice bit of it, now your -- bulk of your reserves are in problematic jurisdictions. You mentioned Ghana so, I'm not going to go on about that, but this is going to be a big year in South Africa from a regulatory point of view, and so could you -- whoever feels like it, just share with us what your level of confidence is on your BEE credentials, #1, and #2, could you comment on the situation with AMCU, and how that may or may not affect you, and perhaps more in general of the business environment in South Africa, because one can see the exciting potential of your non-labor-intensive project, which I think you called a game changer Mike, and I certainly, as an old mining guy, look, I get quite excited about it. But has the union embraced this, or do you anticipate profits? So excited.
Srinivasan Venkatakrishnan: I pick it up first and then pass the microphone on to Mike. Firstly, with regard to the mining charter question, which you are raising. Certainly, we're heavily involved through the chamber in terms of discussions and negotiations with the government. Recently, the DMR initiated an audit firm called Moloto Solutions to do a random audit of all of the mining companies. Our mining concession was selected in that regard. And they spent 2 days, one going to the actual mine site, and the other one in the corporate office going through rafts of information. And the feedback we've had has been very positive in that regard. So given in terms of BEE credentials across all of the pillars, we're in pretty good compliance. And they look at South Africa as a whole, not just a region. They look at the corporate office as well. So, in terms of compliance in order, and certainly, in terms of ownership credentials, given the historical deals done and the EE transaction which we did in terms of ESOP and the E-shares, also that has been taken into account. So overall, absolutely, no concern in that regard. And importantly, the dialogue has been progressing well. We've had open discussions with regard to the DMR, the minister, both directly and through the chamber. And just in terms of comments on jurisdictions. At the end of the day, God does put gold in difficult places. It's -- one would love to go and mine outside the Federal Reserve Bank and the Bank of England. But having said that, trust me, even that is going to be quite difficult. So gold is where it is found. So we need to have the courage to be able to mine there and build the model that actually works. On the wage negotiations fees, as you know, we went through extensive negotiations with the unions last year and the wage agreement was actually signed, a fair increase was provided, taking into account the cost of inflation and the cost of living, and even the economics of the industry. The important part is we have applied the decrease across all of our workforce, irrespective of the union membership. And the matter was taken to court and the initial judgment is on favor. I think there is a hearing scheduled, if I'm right, towards the middle of March, and we will have to wait for the outcome of that hearing. But, Mike can comment on that and the technology piece as well.
Mike P. O'hare: Thanks, Venkat. I think the AMCU piece specifically, Joseph mentioned that they would abide by the law and play by the rules, they're certainly have in gold. And I see no reason for that to change. Everybody is pretty calm up until the 13th of March where we will get the final outcome. So I don't see that there is anything in particular that worries us, with the one exception of spill over from the platinum as we saw in 2012. Some kind of contingent effect. But, I mean, you get the union relations right at a mine level. So I think those relations are good, a lot of interaction between ourselves, AMCU, and remember, we still have the National Union of Mine Workers in the Vaal River area. As far as your second question is concerned, we've involved the unions right from the very beginning in this mechanization drive. And I think what's important to note and maybe it's a bit of a subtle key, the ounces that we plan to mine over the next 3 years are ounces that we wouldn't have mined. So the short pillar areas are creating jobs. The mining of the C-reef that I mentioned, which is over a million ounces potentially, will create jobs. So you really only get into a discussion around whether you are replacing jobs underground when you start to replace conventional mining, and that's a fair way out. Second piece to that conversation is from a South African gold mining point a view, we really want the country to be proud of us. They are in our community and obviously are employees. One of the ways to do that is to show the communities and indeed show the country that we are manufacturing these machines locally, and we are maintaining them locally and we are doing that in the community. So part of this process is another piece that we are not talking about a lot, is developing workshops, manufacturing this equipment, and maintaining it in the communities. So the community sees the benefit as well.
Steve A. Shepherd - JP Morgan Chase & Co, Research Division: A follow-up if I may, Mike and this is for you I think. You still use the 11 shift fortnight system I suppose on your labor intensive mines, you had a projects in Sindisa a while back at the chamber. Isn't there some capital, and I noted that you complained about the blast frequencies at Moab, I mean isn't there any merit in revisiting the possibility of trying to get away from 275 blasting opportunities a year, and maybe into the early 300s by going for a six-day week with the shift rotation system, what do you think about that?
Mike P. O'hare: So we got to the point where we had all of the work done by the toss team through the chamber of mines, through the Project called Sindisa, which intended to mine up to 345 days a year, that was the agreement. However, that got -- how can I put it, a little bit stillborn and going further with the changes in the union dynamics at the different mining areas. So the piece that we own at the moment, and this is across the industry, but specifically for us. This technology that we are talking about is dependent on working 360 days a year and working for 24 hours in a day. And that's one of the principles of this technology implementation. So that certainly is happening there. In our projects, I'm pointing below 120 level bolt. We are already in areas on 6 -- on working 6 days a week. And then certainly in our construction areas where we are behind, we'll be working 7 days a week. And that's being ongoing for quite a period of time. You can't change the South African mining system to mining more days unless you develop more, because eventually you just going to run out of phasing. So the keys must come in the development of more ground before you can actually put crews into mining 6 days a week and so on, although, as you very quickly run out of mining phase.
Steve A. Shepherd - JP Morgan Chase & Co, Research Division: Your fixed cost is what, 80% of the total cost year?
Mike P. O'hare: LIBOR and energy account for about 70%.
Steve A. Shepherd - JP Morgan Chase & Co, Research Division: Yes. But your fixed cost base is high, so I suppose volume would be quite helpful when you get in the costs equation.
Mike P. O'hare: Correct.
Steve A. Shepherd - JP Morgan Chase & Co, Research Division: I suppose Venkat has not giving you enough money to do enough development. Is that it?
Mike P. O'hare: No. That's definitely not at issue. In fact it’s about where the grade is. Not about, the safety with our idea, I mean, it's a working cost ORD.
Stewart Bailey: All right. I think that about wraps it up. Thanks everyone for coming and we will see you outside for a drink.